Operator: Thank you for standing by. This is the conference operator. Welcome to Torex Gold's Third Quarter 2025 Results Conference Call and Webcast. [Operator Instructions] The conference is being recorded. I would now like to turn the conference over to Dan Rollins, Senior Vice President of Corporate Development and Investor Relations. Please go ahead.
Dan Rollins: Thank you, operator, and good morning, everyone. On behalf of the Torex team, welcome to our Q3 2025 conference call. Before we begin, I wish to inform listeners that a presentation accompanying today's conference call can be found on the Investors section of our website at www.torexgold.com. I'd also like to note that certain statements to be made today by the management team may contain forward-looking information. As such, please refer to the detailed cautionary notes on Page 2 of today's presentation as well as those included in the Q3 2025 MD&A. On the call today, we have Jody Kuzenko, President and CEO; and Andrew Snowden, CFO. Following the presentation, Jody, Andrew and I will be available for the question-and-answer period. This conference call is being webcast and will be available for replay on our website. Last night's press releases and the accompanying financial statements and MD&A are posted on our website and have been also filed on SEDAR+. Also note that all amounts mentioned in this call are U.S. dollars unless otherwise stated. I'll now turn the call over to Jody.
Jody Kuzenko: Thank you, Dan, and good morning, everyone, on the line. Last night, we released our quarter 3 earnings. And in every way, this has truly been a pivotal quarter for Torex. It really is the one we've been working for. Highlights as follows: The ramp-up at Media Luna underground has been advancing ahead of plan. ELG underground continues to exceed expectations. Our processing plant is delivering above nameplate on both throughput and recoveries. We hit a major milestone with our first quarter of significant free cash flow generation since the beginning of the Media Luna build. We have finally arrived here at our free cash flow inflection point. We used that money to substantially reduce our debt. We implemented our inaugural return of capital policy with both the dividend and the buyback program now in place. And during the quarter, we bought back $7 million worth of shares. And overall that, we've taken our first steps on growth beyond Morelos, closing 2 acquisitions, adding 5 new assets to our portfolio. In what's been a transformational year for the company, our third quarter results are the first time we're really able to showcase the new operating and cash flow capability of our Morelos assets. Starting here with our strategic pillars on Slide 4. No changes to discuss in our overall strategy. We just continue to work this plan. I'll get into the detail on the progress under each of these pillars throughout the call, but I do want to start with an update on the pillars centered around being a leader in responsible mining. In our ongoing efforts to reestablish ourselves as one of the safest mining companies in the industry, we've been hard at work designing and executing a comprehensive program that we've called next level safety. This is a combination of work streams aimed at safety leadership, risk mindset, safety systems, including fatal risk standards and critical control refreshers across the operations. And we're doing some real interesting work to either further -- even further enhance our culture of care. I'm proud to say this work is paying off. There were no lost-time injuries during the quarter and the lost-time injury frequency at the end of quarter 3 of 0.42 per million hours worked for both employees and contractors on a rolling 12-month basis, really an industry-leading number. Getting into our operational results here on Slide 5, you can see the significant step-up in production we had quarter-over-quarter. Quarter 3 coming in at 119,000 ounces of gold equivalent was much more representative of how successful the ramp-up at Media Luna has been, which up until now wasn't so obvious given the impact of the capacitor failure we had causing the 10-day shutdown at the mill in quarter 2. All-in sustaining cost was also improved quarter-over-quarter, coming in at $1,658 per ounce, resulting in strong margins of 53%. Additionally, we generated $113 million of free cash flow, an important inflection point for the company as it allows us to execute on our capital allocation priorities, which included repaying $75 million of debt, plus another $20 million post quarter end. And it allows us to implement our inaugural return of capital policy, which Andrew will speak to shortly. Slide 6 sets out how we're tracking to our annual guidance. As you can see here, the gold price continues to put pressure on both production and cost guidance given that we report on a gold equivalent basis. And our guidance for this year was set at a gold price of $2,500 an ounce. Our year-to-date production of 262,000 ounces would have been closer to 270,000 ounces were if not for the higher gold price, and our year-to-date all-in sustaining costs of $1,732 would have been closer to $1,600. With that said, we're still aggressively chasing the low end of production guidance and the upper end of cost guidance for the year. To be clear, this statement is made at our guided metal prices. You will also note on this slide, we made a minor adjustment to sustaining capital guidance during the quarter, increasing it by $15 million. This reflects the increased underground development we've had to undertake to support the Media Luna mine ramp-up to get us to hit our targeted tonnes in spite of the delays in commissioning of the paste plant. That said, I'm very pleased to report that we've been paste backfilling since September. We've got 3 stopes now filled with 6 more in the plan between now and year-end. The last point on this slide is a reminder that non-sustaining capital guidance was revised in quarter 2. There have been no further changes, and we continue to expect to come in within this range. Slide 7 showcases the strong performance of the processing plant, which has been exceeding expectations for the past several months. The chart on the left shows throughput, which you can see has consistently been above 11,000 tonnes per day, well ahead of the nameplate capacity of 10,600 tonnes per day. While it's still too early for us to say that this type of performance can be considered steady state, it certainly points us in a direction that we have upside beyond 10,600 especially during months not impacted by major planned maintenance periods. The chart on the right shows recoveries, which were 94% for gold and 95% for copper in September also ahead of their design levels of 90% and 92%, respectively, reflecting how well the met teams have optimized the flotation circuit since commissioning. Switching to the performance of our underground operations on Slide 8. The chart on the left shows the steady ramp-up of the mining rates at Media Luna. We have set a target to exit quarter 3 at 6,000 tonnes per day, and the team exceeded expectations. They delivered a quarterly average of nearly 6,150 tonnes per day. You'll see that rates in September are about 7,800 tonnes per day, and this largely reflects the third primary ore pass and rock-breaker coming online during that month as well as a greater amount of development ore moved during the month. Just to caution here, do not carry the September number forward. We expect the monthly averages to return to levels more in line with our targeted ramp-up rate, especially as we're adding paste backfill to the cycle and we maintain our guidance that we're looking to exit 2025 at 6,500 tonnes per day out of Media Luna. The chart on the right shows that mining rates at ELG underground are also well ahead of our targeted 2,800 tonnes per day, averaging 3,200 tonnes per day for each of August and September. We expect to continue mining at around 2,800 tonnes per day out of ELG until EPO comes online at the end of next year. On the topic of EPO, you'll see the update set out here on Slide 10. We continue to make good progress on design, development and permitting, all concurrently. As at the end of October, we've completed just over 500 meters of development in the ramp, taking off from the Guajes tunnel and remain very much on pace for first ore production by the end of 2026. Importantly, the modification to our MIA-Integral to permit construction of a waste dump facility was approved by SEMARNAT in July. So this means we now have all necessary permits required to begin operating EPO. It also means that we have operational flexibility to dump waste on the south side or campaign it through the Guajes tunnel on the conveyor. On the feasibility study work, our teams have now finalized the mine design, the waste dump design, mine sequencing and integrating that mine sequence and scheduling with Media Luna. We've also initiated procurement processes for long lead equipment supply in support of construction, leveraging the specifications and engineering that we undertook with the Media Luna project. All in here, both our operations and projects are performing exceptionally well, and we fully expect this strong momentum to carry through to the remainder of the year. I'll now turn the call over to Andrew to talk about our financial results.
Andrew Snowden: Okay. Thank you, Jody, and good morning, everyone. So starting first on Slide 11, you can see a step change in our cost profile from our second quarter performance as we started to see the benefit of the Media Luna ramp-up. This cost performance, coupled with the continued strength of the gold price supported strong all-in sustaining cost margins of 53% in the quarter, which is 47% year-to-date. I expect our margins to remain robust as we close out the year here, particularly as gold prices hold and as economies of scale continue through the Media Luna ramp-up. As Jody noted, we also generated $113 million of free cash flow during the quarter, marking the first quarter of significant free cash flow since the early days of Media Luna Construction. Really nice to get to this point, and you can expect to see Torex continue to generate strong free cash flow from this point going forward. With the strength in the gold price, I do want to just remind you of the impact this has on our reported gold equivalent production and cost performance compared to our guidance metal prices, and you can see this summarized on Slide 12. As Jody mentioned, the gold price year-to-date has been about 28% higher than our guided price of $2,500 an ounce. This has had about an 11,000 ounce impact to our reported gold equivalent production amount due to the nature of the gold equivalent calculation, and this was slightly offset by the higher silver price, but it still resulted in gold equivalent production being about 8,000 ounces lighter than where we would have been, all else being equal. This impact was even more pronounced on our all-in sustaining costs as the higher gold prices not only impacted the gold equivalent calculation, but also the amounts we pay in our Mexican legislative profit sharing, our royalties and our temporary occupation agreements. At guided metal prices, our year-to-date all-in sustaining costs would have been around $1,600 an ounce, which puts us in line with the top end of our annual guided range of $1,400 to $1,600. Turning to Slide 13. The robust free cash flow generated during the quarter allowed us to repay $75 million of debt, fund the $26 million acquisition of Reyna Silver in cash and also repurchased $7 million of shares. Also to note, we did repay another $20 million of debt in October post the Q2 close here. While I'm talking free cash flow, just a brief reminder, we do have some seasonality to our free cash flow, as I think everyone is well aware. In Q1 of next year, the Q1 '26, we are expecting and currently forecasting annual payments of about $90 million to cover the company's annual tax true-ups, the 8.5% mining tax and the 1% mining royalty. In addition, there will be the annual PTU or profit sharing payments, which will be paid in Q2, and I expect that will be in the $35 million to $40 million range. Turning next to Slide 14. You can see here our liquidity position and debt profile at the end of the quarter. With net debt of $48 million, excluding leases, we're in a solid position to repay all of our remaining debt over the next couple of quarters. I expect that will be repaid by the end of Q1, while also increasing our cash position. As of the end of Q3, we had $280 million of available liquidity, $107 million of which sat in cash at the end of the quarter. Next, turning to Slide 14. I do want to talk about some big news that we announced yesterday around our return of capital program. You can view this announcement really as the first phase of our return of capital program. One we expect will evolve as our balance sheet further strengthens with the expectation that the next phase will allow us to be more decorative on the overall level of capital to be returned annually. Under this initial phase, we've declared a quarterly dividend of CAD 0.15 per share, the first of which will be paid out to shareholders in early December. We view this dividend level as sustainable and one that can potentially grow over time. In addition to this dividend, we will also be opportunistically buying back shares, which as noted earlier, we've already started to be active on. We plan to renew our current normal course issuer bid in the coming weeks, and we'll look to leverage this program over the next 12 months. With the projected level of free cash flow to be generated by the business, this return of capital program will not impact our ability to fund other capital allocation priorities, which include continuing to invest heavily in the drill bit across our expanded portfolio, funding value-enhancing growth such as EPO and Los Reyes and maintaining a strong balance sheet with significant liquidity to take advantage of accretive external opportunities as and when they come up. Finally, just a very brief update on our hedge book. You can see that summarized on Slide 16. Since the Q2 update, we've just added some initial colors on the Mexican peso looking out to 2026 and '27. These are all summarized here on the slide, and we'll look to layer in further hedges over the coming quarters to grow this protection with the goal of having hedges in place to protect up to 60% of our peso-denominated costs. The gold put options that we have in place for 2025 do all roll off at the end of this year, and we have no additional puts in place on the gold price beyond 2025. With that, I'll turn the call over to Dan.
Dan Rollins: Thanks, Andrew, and good morning. Starting on Slide 18. We've made excellent progress on our acquisitions of Reyna Silver and Prime Mining with both transactions now closed and integration efforts well underway. Early exploration work has commenced at Gryphon and Batopilas, 2 of the 4 assets we acquired through Reyna Silver. At both assets, we're completing target definition work to assess and rank targets to be drilled in 2026. This assessment will be based on results from geochemistry, geophysics and remote sensing work with teams already on the ground at both assets. We expect to invest around $10 million across the 4 properties from Reyna Silver in 2026. At Los Reyes, development stage project we acquired through the acquisition of Prime Mining, work on the preliminary economic assessment is underway following closing the transaction in October. With enough drilling done to date to advance the PEA, we are tracking for completion by mid next year. We expect to invest about $10 million in drilling at Los Reyes in 2026, plus additional dollars to complete the PEA and kick off a pre-feasibility study. Lastly, on Slide 19 summarizes the drilling results from the ELG underground press release we put out last month. Drilling was focused on the El Limón Sur and Sub-Sill trends and additionally uncovered 2 second order structures running parallel to both these trends. These new trends appear to have acted as conduits for mineralizing fluids and have extended mineralization both laterally and vertically, supporting our target of expanding resources at this deposit year after year. This discovery only underscores that we're yet to unlock the full potential of ELG underground, a deposit where we firmly believe we can continue to extend mine life and expand resources year after year for many years to come. With that, I'll turn the back -- the call back over to the operator for any questions.
Operator: [Operator Instructions] The first question comes from Cosmos Chiu with CIBC.
Cosmos Chiu: Maybe my first question is on your return of capital strategy here. Great to see that you've put in an inaugural dividend of CAD 0.15 per share. But maybe if I can ask, how did you come up with that number? How did you come up with that level? To me, it calculates to about a 1% dividend yield. Was that something that you're striving towards?
Andrew Snowden: Cosmos, Andrew here. I'll take that question. I mean 1% felt about right. Really, the genesis behind the dividend level that we wanted to start at was thinking about a level that we felt very comfortable that we could continue and was sustainable in any gold price environment and that -- and the overall $40 million that equates to U.S. annually was a level that we felt very comfortable with in the mix of our overall capital allocation priorities and that happens to come out at about 1%, which I think was fairly in line with the general levels of our peer group. I'll also maybe just note that this is really only our first quarter of free cash flow post Media Luna. It's really what I would describe and as we talked about on the call, as our first -- our initial phase, first phase return of capital program. We'll look to evolve that through the course of 2026 as the balance sheet continues to build, but that's the right level that we thought would be the inaugural dividend.
Cosmos Chiu: Great. And as we talk about levels here, you also repurchased CAD 10 million in shares in Q3. Is that a good level in terms of the foreseeable future in terms of quarterly buybacks?
Andrew Snowden: Again, Cos, I think given this is just our first phase, we've deliberately not come out with any kind of annual targets on volume of shares that we'll look to buy back in any specific period of time. We'll probably evolve to that, I think, through the course of 2026. I'll say the volume of our buybacks in any given month or any given quarter will be dependent on where our share price is trading and how we've been performing against our peer group. That said, obviously where our share price is trading today is a very attractive price. We're obviously blacked out for the next couple of days post our Q3 earnings, but I would expect that we'll be looking to dip into the market and buy back some shares in short order here.
Cosmos Chiu: Great. And maybe if I can switch gears a little bit, and this might be another question for you, Andrew. I'm looking at these QP hedges -- and I've read it quite a few times. I'm still kind of not fully grasping it. Is it just related to, I guess, mitigating the risk in terms of provisional pricing, and that's why you're hedging out the silver and copper. I guess my question is, how significant is it? Is it related to provisional pricing? And then it sounds like it cannot qualify as hedge accounting. So is it going to introduce some kind of accounting volatility into your reporting?
Andrew Snowden: Yes. Good question, Cos. This is the first time we're actually entering into the QP hedging. And so just to give you some context around why we're doing that. So firstly, it relates to our concentrate sales that we started to produce following the Media Luna construction. So it's the concentrate that now comes from our plant under our contracts with the traders. So to date, most of those concentrate has been sold to the traders. The traders actually have the option right now to select M+1 or M+4 as in the settlement terms. What we're looking to do is actually overall reduce volatility over an annual period where we want to make sure that we achieve M+1 settlement terms on all of our sales. And so although the traders are typically elected M+1 on all of our sales to date, when the market is in backwardation, they'll likely select M+4 from time to time. And when they do that, we'll enter into QP hedging to ensure that M+1 outcome is achieved. And the goal here is really to make sure that through the year, we'll average something close to the market price rather than having some contracts close at M+1 and some contracts close at M+4. So I think at this point, it's very small volumes that we've entered into, but we will look to execute that from time to time where we see that exposure to achieve that consistent outcome.
Cosmos Chiu: Great. And then maybe one last question. Gold equivalent ounce reporting has caused a bit of, I would say, not volatility, but kind of a lot of explanation needed to be made in terms of gold equivalent ounces, how that's being calculated, how that compares to your original guidance. Is that something that you would reconsider in terms of the way you guide, in terms of the way you report in the coming years, especially given the fact that as you talked about Media Luna coming in, there's more byproduct now, including copper. Again, how should we look at gold equivalent ounce calculation and reporting on a go-forward basis?
Andrew Snowden: Yes. That's a fair comment, Cos. I mean it's -- we've not lived through this period of price volatility that we've had over the past 12 months. And so we weren't expecting, obviously, the explanations that we've had to provide through the course of this year to explain some of the variances. I think as we look forward to 2026 here and the guidance that we'll be releasing in January, at this point, we expect to probably expand that guidance more than it maybe was in 2025 to provide guidance on individual metals rather than just gold equivalent. And so we will continue to report on gold equivalent. I think that's an important metric, but we will provide incremental guidance on individual metals so that helps the market and investors and analysts understand our production profile.
Jody Kuzenko: The overall goal line for us here, Cos, is transparency. We want everybody to understand clearly what our production is and how we're tracking against our commitments to market.
Operator: The next question comes from Don DeMarco with National Bank Financial.
Don DeMarco: First off, I'll start with the plant. I see it's running above the 10,600 tonne per day nameplate. Can you restate the drivers for this? And do you have an upper limit target that you might hope to achieve? And can you sustain grades at this higher level throughput? I mean, obviously, that will be in flux of Media Luna ramps up, but just interested to hear more color on this.
Jody Kuzenko: Yes. Thanks, I'll take that question. Yes, I'll take that question. As you know, we did over 11,000 tonnes a day through quarter 3. And one of the key drivers for that was centered around we didn't have a major maintenance period scheduled in the quarter. You'll recall the downtime we took in May of this year as a result of the capacitor failure. So the team just didn't take that time down. They took the opportunity to do every bit of maintenance they could to set us up for a maintenance-free quarter 3, which drove those rates. The other thing driving those rates is that, generally speaking, the ore on the Media Luna South side is softer than the ore on the north side, which allows us to increase tonnes per hour. And when we took the mill down during the transition period from [indiscernible] 10,600 tonnes a day with the Media Luna transition, we didn't downgrade power and power to the SAG mill and the ball mill had been the limiting factor under the open pit flow sheet. So we've got more power than we need. We've got a little bit softer ore, and we are continuing to optimize our maintenance planning, both on a quarterly basis and an annual basis. What that all tools up to is something that we are actively discussing, what kind of commitment we make to the market. At this point, we're holding on 10,600 tonnes a day. I will tell you, as we're running the 2026 budget, we are flexing an upside at 11,000 tonnes a day. Too soon to put it into the models, but that could very well be where we're headed here. In terms of your question around grade, as you know, we are looking to get as many tonnes as we can out of Media Luna and ELG underground at a $4,000 gold price, that has allowed us to selectively soften cutoff grade zone by zone to get more tonnes with maybe a little bit less grade. So there will be impacts around the margin, I would say, on grade driven predominantly by the gold price, but secondarily by this upside we're seeing at the mill. It's all connected.
Don DeMarco: Okay. That's -- all that is just very excellent color, and we look forward to further details on your throughput rates going forward. But maybe we can dig into grade a little more. So you got Media Luna underground, I see it's on track for 6,500 tonnes per day at year-end. You got -- you had a record in September. I see that. That's great. But you're still on track for that pace and then 7,500 midyear. But with this looming, how should we think about year-over-year improvements in grade going forward with a more favorable blend with higher weighting to Media Luna?
Jody Kuzenko: Yes. It will be very unlikely that we'll have a lot of blending capability moving forward. I mean, at 7,500 tonnes a day, another 3,000 tonnes a day and 2,000 tonnes a day out of EPO, you can see that we're going to be filling a hungry mill, even call it, at 11,000 tonnes a day. And so you can expect to be grade to be fairly flat moving forward.
Don DeMarco: Okay. Okay. And just maybe as a final question and I'll shift over to Dan. So Dan, yes, great to see the Prime acquisition close at Los Reyes. You mentioned the PEA is tracking mid-2026. Looking forward to this milestone. But is this subject to a resumption of exploration at site? And what is the level of working conditions right now in...
Dan Rollins: Yes. I'll let Jody talk about the working conditions. On the PEA, there's over 200,000 meters of drilling and a significant portion of the resource is already in the indicated category at very tightly spaced drilling. So there's enough critical mass of drilling to continue to move ahead with the work that Prime had started on the PEA. Our team has just taken that over now. We've got our team heading down to Vancouver to meet with some of the consultants over the next couple of weeks. They'll take a look at the design elements that were sort of proposed by the Prime team, look to see if we want to do anything differently. Again, we bring a bit of a better balance sheet. We're an operating company. We're going to be looking to put a PEA out that is going to be a study that we're going to build off and will inform the PFS and then subsequent to a feasibility study. So we're well on track there. No more drilling. The drilling that we want to do in 2026, if not earlier, is really to I'd say, expand the resource, tighten up some areas of that resource model where we want to see some more drilling and really inform the work that will be part of the PFS study that will kick off next year with the aim of getting that PFS out to market sometime in 2027 and likely a year later, followed by a feasibility study.
Jody Kuzenko: In terms of the security concerns at site, Don, our team has been there on multiple occasions now. Even just this last week, we have a team of managers from Morelos heading out there across functions, security, logistics, HR and finance. And I would say we are making our way there step by step with a view to resuming drilling just as soon as we can without pushing it too quickly. What does that look like? We've tapped into our relationships with the Federal National Guard to show a presence there. We have had many discussions with the municipal level of government to start to undertake the work to rehab the road from [indiscernible] to the site. There's some 30 kilometers of road there. We will start to let contracts to rehab that road. And then we will start to show a presence there from a security perspective, which we have done. So all of those things coming together step by step, we will make the decision when we feel it is safe to do so to resume that drilling program. Progress is being made.
Operator: The next question comes from Allison Carson with Desjardins.
Allison Carson: Congratulations on a great quarter. Most of my questions have already been asked, but I do have one more question on the capital return program. You mentioned that this is just the initial program. I was wondering if you could sort of expand on how you expect it to evolve over time or how you'll change your decision-making process with it.
Andrew Snowden: Yes. So I can take that one again, Allison. Really, how we expect it to evolve is to -- with the goal of being a bit more declarative on the overall return of capital program. This Phase 1, we've announced an initial dividend with the goal of opportunistically buying back shares. As it evolved through the course of next year, I expect we'll get to a point where we'll be able to come to the market with an overall percentage of free cash flow that will be allocated to the overall return of capital program that would be allocated between the different buckets between dividends and share buybacks. And so that's really how you can expect the program to evolve through 2026.
Operator: [Operator Instructions] The next question comes from Lauren McConnell with Paradigm Capital.
Lauren McConnell: Congratulations on that nice free cash flow. Just building a little bit on Don's question about the processing plant and operating above nameplate. Just wondering, you talked about the fact that there was no maintenance in Q3. Is there any maintenance planned for this quarter? And could you give any color in terms of how the plant has been operating so far quarter-to-date?
Jody Kuzenko: Yes. The plant has been doing really well, both on throughput and metallurgically on recoveries. We look at it in 2 ways, Lauren. And there is maintenance scheduled for this quarter 4. We have to do a liner change at the mill and various other maintenance. And so we're tracking that closely to be able to go down and pull back up to deliver on that targeted low end of production guidance. You can't go maintenance-free for too many quarters in a row. If you don't schedule the maintenance, your equipment will schedule it for you, Lauren.
Lauren McConnell: That makes sense. Yes. And then just switching gears a little bit to exploration. You guys commented that you're thinking around $10 million for Los Reyes and $10 million for the Reyna Silver portfolio. Can you provide any color on sort of what you're thinking for 2026 in and around Morelos in terms of budget for exploration?
Dan Rollins: Yes. So caveat, we're just going through that budgeting process right now. So we'll come out with final numbers, but $10 million at Los Reyes, $10 million across the Prime assets, probably the majority of that at Gryphon and Batopilas. At Morelos, we're probably looking at something consistent with what we did in 2025. So think about $40 million to $45 million at this point in time, similar focus to what we've been doing in 2025. Again, large focus on ELG underground. That's an asset that starting in 2018, we had around 185,000 ounces of reserves. We've now increased that by almost 500% on what we've mined and having the reserves at the end of 2024. So that will see a big chunk. Media Luna cluster will continue to see a big chunk of spending, Media Luna proper, Media Luna East, Media Luna West, EPO, EPO North. And then we'll continue to refine our regional targeting, where we look to get a little bit more targeted on some of the regional targets, specifically at [indiscernible].
Lauren McConnell: Perfect. And then just in terms of exploration updates between now and year-end, what should we be watching for?
Dan Rollins: Yes. So we'll have another release out likely late November, early December on Media Luna West drilling, just the final results from that work. We'll also have an update on EPO, where we've now completed that drill program. And then we'll likely have a couple more updates in January, February, setting us up for our year-end MR&R update, which tends to come out mid- to late March ahead of our publishing our annual information form.
Operator: As there appears to be no more questions, this concludes today's conference call. You may now disconnect your lines. Thank you for participating, and have a pleasant day.